Operator: Good day, ladies and gentlemen, and welcome to the Fourth Quarter 2011 Air Lease Corp. Earnings Conference Call. My name is Derrick and I'll be your operator for today. At this time, all participants are in a listen-only mode. We will facilitate a question-and-answer session towards the end of the conference. (Operator instructions). As a reminder, this conference is being recorded for replay purposes. I will now like to turn the conference over to Mr. Ryan McKenna, Director of Strategic Planning and Investor Relations. Please proceed.
Ryan McKenna: Good afternoon, everyone, and welcome to Air Lease Corporation's fourth quarter 2011 earnings call. This is Ryan McKenna, Assistant Vice President, Strategic Planning and Investor Relations. I’m joined this afternoon by Steve Hazy, our Chairman and Chief Executive Officer; John Plueger, our President and Chief Operating Officer; and Greg Willis, our Senior Vice President and Chief Financial Officer. On Friday March 9th, 2012, we published our fourth quarter results for fiscal year 2011. A copy of our earnings release is available on the Investors' section of our website at www.airleasecorp.com. This conference call is being webcast and recorded today, Monday, March 12, 2012, and an audio replay will be available on our website. At this time, all participants to this call are in listen-only mode. At the conclusion of today’s conference call, instructions will be given for the question-and-answer session. Before we begin, please note that certain statements in this conference call, including answers to your questions are forward-looking statements within the meaning of the Private Securities Litigation Reform Act, including without limitation, statements regarding our future operations and performance, revenues, operating expenses, other income and expense, and stock-based compensation expense. These statements and any projections as to the Company's future performance represent management's estimates of future results and speak only as of today, March 12, 2012. These estimates involve risks and uncertainties that could cause actual results to differ materially from expectations. Please refer to our filings with the Securities and Exchange Commission for a more detailed description of the risk factors that may affect our results. Air Lease Corporation assumes no obligation to update any forward-looking statements or information in light of new information or future events. In addition, certain financial measures we will use during this call, such as adjusted EBITDA and adjusted net income, are non-GAAP measures and have been adjusted to exclude charges relating to discounts on certain convertible notes and stock-based compensation expense among other charges. A description of our reasons for utilizing these non-GAAP measures as well as our definition of them and the reconciliation to corresponding GAAP measures, can be found in the earnings release we issued on March 9th. This release can be found in both the investors and press section of our website at www.airleasecorp.com. Unauthorized recording of this conference call is not permitted. I would like to turn the call over to Chairman and Chief Executive Officer, Steve Hazy.
Steven Udvar-Hazy: Thanks, Ryan. Good afternoon to all of you and thank you for joining us today. I'm pleased to report that for the three months ended December 31, 2011 Air Lease Corporation recorded pre-tax income of $38.7 million and net income of $24.8 million, resulting in a $0.24 earnings per share on a fully diluted basis. Our cash flow from operations was $101 million. Our Q4 results reflect a 37% increase in pre-tax earnings compared with Q3 of 2011. This is our sixth full quarter in business and now our fourth consecutive quarter of increasing profitability. For the full year 2011, we achieved pre-tax income of $82.8 million and net income of $53.2 million on total revenues of $336.7 million, earning us a pre-tax profit margin for the year of 24.6% and a fully diluted earnings per share of $0.59. I am pleased with our results and even more proud of our dedicated team of management and employee shareholders, all of whom are consumed with the passion for the business. It is the in-depth knowledge of our customer’s requirements and the needs of the industry, coupled with the entrepreneurial culture, the spark of a youthful Company, and the unbridled enthusiasm of its people, the commitment to deliver superior results to our investors and our customers, and the unwavering belief in our business that form the core of ALC’s success. Please allow me to make a few industry observations. As most of you know, 2011 and early 2012 brought unprecedented orders for new aircraft as fuel price remains the biggest cost threat to airline prosperity and environmental pressures continue to grow larger. The airline industry needs fuel-efficient, environmentally friendly and technologically advanced aircraft. ALC is well positioned to meet these needs with aircraft that reflect these characteristics, namely 102 aircraft in our current fleet and 217 new aircraft on order at December 31, 2011. At the same time, much noise has been made about the airframe manufacturers record increases in production rates and the potential negative impact that this increase might have on the global aircraft supply and demand equation in the face of softening economic conditions, airline profitability, particularly in some region of the world such as Europe. While we anticipate that regional economic factors and reduced airline financial performance may have some negative impact on the order books of the airframe manufacturers, they remain significantly oversold compared to their production capabilities. The overall supply of new aircraft available to the marketplace for the next several years from the manufacturers remains limited, helping to make ALC an attractive leasing solution for airlines looking to procure the new aircraft they need to optimize their fleets, maximize their flexibility, and reduce their own financing risk. Volatility is nothing new in the airline industry. Our team had managed through many cycles and industry conditions, including aircraft oversupply and undersupply, high interest rates, airline bankruptcies, catastrophic events, pandemic outbreaks and more. Yet air transportation has become and in our view remains the world's form of long-distance mass transportation and an important engine of global commerce. We believe ALC's fleet, aircraft strategy, and long-term order book, strikes the right balance between growth and conservatism. Moreover, our low leverage balance sheet provisions us well to take advantage of opportunities that may present themselves in the marketplace. We strongly believe that by executing our growth plan, ALC has achieved impressive financial results in the short operating history and is well-positioned for the future. John Plueger, our President and Chief Operating Officer, will now discuss ALC's current operations and strategic positioning.
John Plueger: Thanks, Steve. Air Lease Corporation added 23 aircraft, growing our fleet by 29% during the fourth quarter 2011. We ended the year with 102 aircrafts in our fleet with a weighted average age of 3.6 years, and with a weighted average remaining lease term of 6.6 years. Based on net book value, over 90% of our aircraft are operated internationally. We ended the year with a balanced customer base of 55 airlines in 33 countries, which is indicative of the diversity and depth of our customer base. Much attention has been focused on Europe in the media and industry press. ALC has no significant concerns about our European customers to-date. All are performing well with no significant lease derivatives. We do have one A320 leased to Kingfisher Airlines in India with minor arrears. We're monitoring that situation closely, but we believe our team on the ground in India has a good grip over the situation. Our forward lease placements of new aircraft on order are strong. As of December 31, we were 93% placed through 2014 and 80% placed through 2015. Our marketing team's ability to place aircraft years ahead of their delivery serves as an important risk mitigator for the Company. We continue to see strong demand from Asia where during 2011 we concluded a significant portion of new aircraft lease placements from our order book. Demand for our twin-aisle widebody aircraft remains strong, with that demand again coming primarily from Asia. As you are aware, ALC's philosophy is to offer the youngest, most fuel-efficient, most environmentally friendly and most technologically advanced aircraft available. Implementing that philosophy, it should come as no surprise to you that we've been successful in placing such aircraft. For instance we've leased out 100% of our remaining orders for current generation Airbus A320 aircraft, or as my friend John Leahy likes to call them, the A320 CEO, for Current Engine Option as opposed to the NEO, N-E-O, for New Engine Option. As Airbus likes to point out, since the A320 NEO was introduced, Airbus has sold 448 of the A320 CEOs. We take delivery of our last A320 CEO in 2013. Additionally, 100% of our Embraer E-Jets orders are now fully placed. We’ve leased out 100% of all of our remaining new Airbus A330 positions, and finally we see good demand for our Boeing 777-300 ER positions. As previously disclosed on prior earnings calls, on a total portfolio basis, we've been able to consistently maintain our overall lease rate margins and that remains true through the fourth quarter of 2011. Operationally, ALC has all major key systems and controls in place and functioning well. One of these aspects is succession planning and ALC has in place succession planning across the organization. The effectiveness of that planning was evidenced last week, when Jim Clarke, our Senior Vice President and Chief Financial Officer, decided to leave our Company to pursue other interests. Jim's resignation was not due to any disagreement with the Company on any matter related to the Company's financial condition or financial reporting. We thank Jim for his contribution to ALC and we wish him well in his future endeavors. Our succession plan was executed, and in line with our plan and management's recommendation, our Board of Directors confirmed and appointed Greg Willis, our Vice President and Chief Accounting Officer as our new Senior Vice President and Chief Financial Officer. Greg was one of the first to join Air Lease Corporation at its formation. He has demonstrated tremendous strength, professionalism, insight, business and finance acumen, and depth in the accounting and financial management of our Company from day one. Under Greg's leadership, we didn't miss a beat getting out our 10-K ahead of schedule. With that, let me now turn the finance review over to Greg.
Gregory Willis: Thank you, John. As Steve mentioned, this release marks ALC's fourth consecutive quarter of increasing profitability. During the fourth quarter, our fleet generated $113.6 million in rental revenue, which includes overhaul revenue of $3.4 million compared to rental revenue of $36.7 million, which includes overhaul revenue of $1.8 million in the fourth quarter 2010. As a reminder, ALC adds aircraft throughout the quarter, so the full impact of rental revenue for aircraft acquired during the quarter will be reflected in subsequent periods. Interest expense and depreciation expense increased year-over-year proportional to our higher debt balances and fleet growth. We recorded in the fourth quarter of 2011 SG&A expenses of $11.9 million, versus $10.1 million during the fourth quarter of 2010. Our SG&A expense was essentially flat quarter-over-quarter, but still represents a disproportionately high percentage of our revenues during our initial years of operation. As we continue to add aircraft we expect SG&A to continue decreasing as a percentage of our growing revenue. Despite industry concerns over the availability of financing for our airlines, ALC continues to enjoy good access to credit and debt capital markets. We concluded our first convertible bond transaction in November and those bonds have performed well in the secondary market. We continue to emphasize the growth of our unsecured financings. As of December 31st, 2011, ALC built a diverse lending group consisting of 23 banks providing lending facilities. This banking group includes three new institutions that were added during the period. Our banking facilities continue, combined with our unsecured debt private placement in June and our unsecured 7-year convertible bond issued in November, resulted in an overall composite cost of funds of 3.14%. This rate does not include the effects of upfront fees, undrawn fees, or issuance cost amortization. During 2011, the Company raised a total of $1.2 billion in debt financing, of which $587.6 million, or 49% was unsecured. In the first quarter of 2012, ALC entered into debt facilities and obtained financing commitments for an additional $855 million, of which $522 million or 61% was unsecured across eight facilities. I will now turn it back to Ryan.
Ryan McKenna: That concludes management’s remarks. For the question-and-answer session each participant will be allowed one question and one follow-up. Now I would like to hand the call over to the operator. Operator?
Operator: (Operator instructions). And our first question is coming from the line of John Godyn with Morgan Stanley. Please proceed.
John Godyn – Morgan Stanley: Great. Thanks for taking my question. It’s great to see that you guys made further progress on placing aircraft this quarter. Just given that we've heard reports of softening trends out there, there is a little bit of a concern in the marketplace that maybe your placing of new aircraft might be with marginally worse economics or lower returns than maybe what you've been able to place over the prior few months. Can you guys just please speak to how you think about the hurdle rates in the return profile on these placements that you have out multiple years in the future?
Steven Udvar-Hazy: Yeah. Thank you for your question. We have not seen any material change in our lease rate profile on our new aircraft placements in the fourth quarter versus the third quarter or the second quarter of 2011. The lease rates on our highly desirable aircraft types that we have leased out well in advance of their deliveries have remained fairly consistent among a broad group of lessees.
John Godyn – Morgan Stanley: Okay, great. Thanks. And just a follow-up. Just on this idea that there might be some softening in the marketplace, can you just speak to your appetite for any opportunistic asset acquisitions? What might those look like? What are the characteristics that seem interesting, if you do have an appetite for anything opportunistic?
Steven Udvar-Hazy: John Plueger will answer that.
John Plueger: Hi. Thanks. Our management team by our DNA, we're always looking for those kinds of transactions. We continue to evaluate any opportunities that come up. Obviously we look at what anyone would look at. We look at the attractiveness of the pricing of any assets we might want to buy. We look at all kinds of different aspects, all with the goal of really fitting our business model, enhancing our shareholder value. So it's hard for me to lay out the specific characteristics that, we don't have a checklist of one through 10 items we have to have. But suffice to say that we have in the past, since we began this Company, and continue to evaluate each transaction, they all are very different, and anything that we believe is worthwhile pursuing, we will pursue.
John Godyn – Morgan Stanley: Great. Thanks a lot guys.
Operator: Your next question is coming from the line of Jamie Baker from JPMorgan. Please proceed.
Jamie Baker – JPMorgan: Hey, good afternoon gentlemen. First question, a follow-up, you brought up the issue of Kingfisher in your prepared remarks. What are some of the options there? I mean, can you proactively take that plane out of service early?
Steven Udvar-Hazy: Well, the current situation is fairly straightforward. Kingfisher is not in financial default under the lease. They have been making their lease payments and we are taking steps in case the airline has to further curtail their operations to recover the asset and lease it to another airline. We only have one A320 there. We have very strong security deposits, and we also have an additional letter of credit from a major international bank. We have overhaul reserves that we've been collecting now for about two years which have significant balances. So I think from a credit risk profile, ALC is quite well positioned. We have identified several airline customers who would like to have that airplane and negotiations are underway on a subject-to basis depending on our ability to recover the aircraft or desire to do so in the near future.
Jamie Baker – JPMorgan: Okay. Is the aircraft in operation currently do you know or?
Steven Udvar-Hazy: Yes, the aircraft is in scheduled operation. So it's airworthy and if there is a possible shutdown of the airline or some kind of paralysis of airline operations at Kingfisher, we have contingency plans to recover the assets.
Jamie Baker – JPMorgan: Great. And oh I’m sorry. Go ahead?
Ryan McKenna: We’ll stick to one question and one follow up for everybody so everybody has a chance. So we’ll – next question operator.
Operator: The next question is coming from the line of Greg Lewis from Credit Suisse.
Anthony Sibilia – Credit Suisse: Hi everyone, it's actually Anthony Sibilia for Greg today. I just have another follow-up question on the forward lease placements. In the K it talked about how some of those lease placements are binding versus some are – as being non-binding. I just want to know, do all of them have lease rates currently attached to them? And then I guess what would you guys say is the likelihood of those lease rates that are currently potentially in place being maintained over the next few years?
Steven Udvar-Hazy: Right. Let me explain the marketing of aircraft on lease is a multi-step process and the first point where we consider a transaction serious is where the airline signs a binding letter of intent accompanied by a nonrefundable cash deposit. In all cases since the company has started operations in early 2010, we have converted those letters of intent to firm leases. At December 31, we had a few aircraft which were in transition between the LOI and the final lease documentation phase. But the lease rates as you referred to are identified and agreed to by the parties including the lessee and the lessor prior to that. So we don't expect as leases are signed that there's a change to the actual lease rates or the lease economics.
Anthony Sibilia - Credit Suisse: Okay. And then I guess just one other question, this year it looked like you guys had like $11 million of contingent rent I guess or maintenance rent. Do you guys give any guidance for next year about what that figure would be like?
Steven Udvar-Hazy: Greg Willis, our CFO, will respond to that. Although you have to understand we don't give forward guidance on revenues or profit.
Gregory Willis: That's exactly right, Steve, we don't give forward guidance. But that contingent rental revenue is the revenue portion that we, in accordance with our accounting policies, recognize as we receive the overall reserve payments.
Anthony Sibilia - Credit Suisse: So it's what you recognize as you receive or what you think you will, like...?
Gregory Willis: It's what we think we will retain.
Steven Udvar-Hazy: Of the cash that we've received already. And as the fleet grows, you can make some assumptions about the fact that the more airplanes we have, the greater the number of flying hours that the airlines will operate those aircraft. So you can make your own calculations on a pro forma basis.
Anthony – Credit Suisse: Okay, great. Thanks.
Operator: Your next question is coming from the line of Michael Linenberg from Deutsche Bank. Please proceed.
Michael Linenberg - Deutsche Bank: Oh yeah. Hey, good afternoon guys. Two questions. Can you give us just your thoughts on the recent United deal, the debt deal that was done? It looked like it was pretty well received in the market. It was the first deal with 787s. I know those are the airplanes that you guys have on order. Just your thoughts and any sort of read through from that?
John Plueger: Well yeah. Yeah, actually we were pleased to see that. Anything that maintains and provides liquidity overall to the industry – and particularly, this has been a feature that the U.S. airlines have been able to enjoy in the past with AATCs and et cetera. But we believe that there is huge capital requirements globally for this industry going forward. So, we actually were quite happy to see Continental United get this transaction for the 787s. There's lots of speculations, if you read those articles, that this is a transaction that could be used more broadly on a global basis. We think that would be great.
Michael Linenberg - Deutsche Bank: Okay, very good. And then just my second question. If we push the Kingfisher situation aside, how do you see the credit quality of your overall customer base? Would you say that today it is similar to how things looked a quarter or two ago, or has it maybe deteriorated just modestly?
Steven Udvar-Hazy: Actually it's better.
John Plueger : Actually better.
Steven Udvar-Hazy: Every week, we look at the tally sheets on all the rentals and if anybody is a couple of days late – and actually the last report I saw was the best I've seen in the last year. So we're not really seeing any degradation of cash inflows from our lessees. All of our lessees are performing. And as I said earlier, even Kingfisher is up-to-date on their lease payments, on that one A320.
John Plueger: Yeah, let me just add that, we don't just place aircraft for today. All of our placements, we look at with a long-term forward view, because some of these leases go out 10, 11, 12 years. And so we make pretty good judgments and a good balance, I think overall, on who we lease to and the overall quality of our portfolio. Obviously there are some airlines that are more hallmark names, bigger flag carrier types and others that are smaller that might yield a better overall sort of yield to us. But it's the balance overall, I think, that we look at before we do any placements at all. And so we very much – part of our analysis is to look forward 10 or 12 years and make our best as to who is going to be around, who is going to be stable and who do we want to have aircraft on lease to.
Michael Linenberg – Deutsche Bank: Okay, very helpful. Thanks guys.
Operator: Your next question is coming from the line of Scott Valentin from FBR Capital Markets. Please proceed.
Scott Valentin - FBR Capital Markets: Good afternoon. Thanks for taking my question. Just with regard to financing, obviously you guys aren't having any problems accessing financing given the $855 million in the first quarter, but maybe conditions seem to be changing. Are terms tightening? Are you seeing different players come into the market? 
Steven Udvar-Hazy: In terms of the lenders or institutional investors or banks? What’s your…?
Scott Valentin - FBR Capital Markets: Well, I guess, yeah, I'm sorry, banks and lenders, who you're seeing come in the different regions coming in now?
Steven Udvar-Hazy: Yeah. One of the things we did about a year ago is we embarked on a plan to expand the geographic scope of our banking relationships and we put a lot of emphasis on banks in the Asia Pacific region and not depend as much on the European banks. Notwithstanding that, we have seen strong support from our European lenders. In fact, in the fourth quarter we did a number of transactions with European banks, contrary to the media portraying that European banks are not in dollar-based lending. Bbut we've also expanded our lending relationships to Japanese institutions, two big Australian banks, the largest bank in Southeast Asia, and many of these institutions or most of them have actually provided us unsecured facilities of various sorts. So we continue to expand those banking relationships and we're not overly reliant on anyone region of bankers in terms of geography.
Scott Valentin - FBR Capital Markets: Okay. That's helpful, and just one follow-up. You mentioned that the 45 aircrafts scheduled for delivery in '12 are all placed. I think I saw on the K, 13 air – there's 13 aircrafts with lease expirations. Are those placed as well, or do you have any update on those 13 aircrafts?
Steven Udvar-Hazy: We will publish that in our first quarter 10-Q. But as you can imagine airlines generally give us between 9 and 12 months advance notice, before the lease expiration and our team is diligently working and have been very successful at either extending leases or re-leasing aircraft. We don't have any aircraft on the ground at this time, nor do we plan to have any on the ground.
Scott Valentin – FBR Capital Markets & Co.: Okay. Thank you.
Operator: Your next question is coming from the line of Jason Arnold from RBC Capital Markets. Please proceed.
Jason Arnold - RBC Capital Markets: Hi. Good afternoon guys. Just a quick follow-up actually on that one Scott asked on the new financing facilities here in the first quarter that were added. Could you give us the rates on those and perhaps the advance rates?
Gregory Willis: Jason, we haven't disclosed those rates we've disclosed in the aggregates. We also disclosed ranges in our 10-K by financing type of the deals that we're doing. But right now, we have to stick to what's been disclosed in the 10-K.
Jason Arnold - RBC Capital Markets: A follow-up, I guess, a question here. Now that the Dreamliner is less dream and more reality, I was just wondering if you could talk about maybe where you see that aircraft fitting into your fleet and perhaps the market more broadly?
John Plueger: Yeah. Thanks, Jason. This is John Plueger. As you know, we've already ordered four 787–9s and have disclosed that. That comes a little bit later in the decade. We continue to believe that the -9 is the aircraft that is more strongly preferred by the industry. I think that's become pretty clear. Look, the 787-8 is in the process of delivery. Obviously there have been some hiccups, some issues, some works that had to be done on aircraft and it's well-known Boeing has to do a lot of work on some current production aircraft to find some things that they are finding in the typical early teething pains of an aircraft. So we continue to watch the program, but one good thing about having the -9 later in this decade is that any and all of these sorts of teething issues that have come out, all ought to be cured.
Jason Arnold – RBC Capital Markets: Terrific. Thanks a lot for the color.
Operator: Your next question is coming from the line of Isaac Husseini from Barclays Capital. Please proceed.
Isaac Husseini - Barclays Capital: Hi. Good afternoon everyone. Wanted to get your thoughts on ROEs if possible. In a hypothetical world where lease rates and asset values could come under pressures, I just wanted to understand what your thought process is as it relates to leverage that you could potentially pull to maintain certain ROEs?
Steven Udvar-Hazy: Well, in our IPO filing, if you refer to our S1 filings, we said that our target leverage will be lower than historically what other lessors have done and our long-term philosophy is to have a target leverage in the range of between 2 to 1 and up to 2.5 to 1. At the end of 2011, our leverage was still in the 1 to 1 range. As we add more aircrafts and do more financing, that leverage will obviously begin to creep toward the target levels that we've outlined in our public filings, and as that happens the ROE should increase, because we're deploying our capital in a more efficient manner. But this is a process that will take 18 to 24 months or possibly even longer to get up to that level.
Isaac Husseini - Barclays Capital: To get to the target of 2.5?
Steven Udvar-Hazy: Well, I said between 2 and 2.5.
Isaac Husseini - Barclays Capital: Right, okay.
Steven Udvar-Hazy: There could be seasonal variations in that depending on the timing of aircraft deliveries and dispositions, but keep in mind also that the retained earnings of the Company are added back to our equity base, our shareholders' equity. So whenever you look at those calculations between debt and equity, you have to sort of think about the fact that the equity is growing as a result of the retained earnings.
Isaac Husseini - Barclays Capital: Okay, that’s helpful. And I guess my follow-up question is, if you could just give us some color on the demand that you've seen within different regions. I understand that when you went public, you wanted to focus on building your exposure in Asia and Lat-Am given that this is where the demand was. Where do you see yourself right now relative to where you want to be in those regions, and if you can give any color on other regions as well?
John Plueger: Yeah. Hi. It's John Plueger. I think in my remarks I mentioned that we continue to see strong demand in Asia, and in fact in 2007 a significant percentage of our placements of newer aircraft for future delivery are all based in Asia. So there really is no difference at all from what we had told and anticipated and disclosed in the formation of our company and in the initial private equity raise, in the IPO and subsequent. We still see, as I indicated in my remarks, strong demand from Asia. It is demand driving widebody, single body, et cetera, et cetera, and we still see that as the primary region that will fuel our continued growth in our aircraft lease placements.
Steven Udvar-Hazy: But we do have strong activity in Latin America. We have quite a few deliveries this year in the Latin American region, ranging from Mexico, down to Brazil and so on. Middle East and Africa are still growing above, what I call the North American level of traffic growth and we see other opportunities in the region here, even in the U.S. and Canada. And in Europe most of our lease placements are really modernizing fleets. They're replacement aircrafts rather than additions to capacity. But we still see very robust demand even from Europe in that arena, where it's a replacement aircraft of a less efficient, more obsolete airplane by the airline.
Isaac Husseini - Barclays Capital: Okay. Thank you so much fellows. Very helpful. Thanks. 
Operator: Your next question is coming from the line of Helane Becker from Dahlman Rose. Please proceed.
Helane Becker - Dahlman Rose: Thank you very much operator. Thanks guys for taking my question. Just one. Do you have an opportunity or are there opportunities for you to increase the 2013 delivery schedule, where the decline from this year seems to be pretty substantial?
Steven Udvar-Hazy: Yeah. The answer is yes, there's always opportunities. We continue – as one of the other earlier questions and answers might provide, we're always on the lookout for opportunistic transactions from any source, from the manufacturers, from other leasing companies, from airlines, et cetera. So we have simply set forth in our 10-K, in our disclosure now, what the current status of our new aircraft orders are. There could be situations that come up where we may step into orders that another airline wants to vacate. It could be a variety of different things. It's really hard to say where, when and how, but I think the overall answer to your question is yes. It is certainly possible for us to increase our orders for 2013.
John Plueger: Yeah, what's contained on page 34 of our 10-K is our current orders and we would refer to that as our base plan. And then in addition to our base plan, we would obviously look at transactions that fit into our portfolio planning, expanding our customer base, geographic diversification as long as its aircraft types that we feel will be a strong candidate for our long-term operations.
Helane Becker - Dahlman Rose: Okay, great. That's what I was wondering, if we should think about Page 34 as the base case and you answered that. Thank you.
Steven Udvar-Hazy: As of December 31, that's what we have on firm order, and we can't really make specific observations on what airplanes we're going to buy three months from now and six months from now that will deliver in 2013. But obviously we're growing the Company and the probability that we will add units to that, rather than go down. So it is the base case, and you should look at it that way.
Helane Becker - Dahlman Rose: All right. Okay. That’s very helpful. Thank you very much.
Operator: Your next question is coming from the line of Gary Liebowitz from Wells Fargo Securities. Please proceed.
Gary Liebowitz - Wells Fargo Securities: Thank you, operator. Good afternoon gentlemen. The 10-K mentions that you target average lease duration for new narrowbodies of six years and in prior filings you used to talk about a minimum lease term of six years for new narrowbodies. Can you talk about what's changed about your strategy with respect to how far you go out?
Steven Udvar-Hazy: I think that I don't see where it says that in our 10-K. I think what it says in the 10-K is our average lease remaining on the entire portfolio is in the vicinity of six and a fraction years. We generally do leases on new aircraft for longer periods than that.
Gary Liebowitz - Wells Fargo Securities: Okay. Well I'm reading directly from the K. So we can follow-up on that after. Also in the 10-K, if I compare your purchase commitments, your aircraft purchase commitments at year-end versus September 30, it looks like there weren't any changes in the number of units, but your dollar purchase commitments went up in 2012 by about $80 million. What would cause that to change without any change in the unit delivery schedule?
Steven Udvar-Hazy: Are you referring to – what section of the 10-K are you referring to, Gary?
Gary Liebowitz - Wells Fargo Securities: It's the purchase commitments for new aircraft, where it's now like $1.93 billion for 2012 and that's up about $80 million or so from what was disclosed in the September Q. But there weren't any corresponding changes in the unit deliveries. So I'm wondering, were there any – like did you trade up from A320s to A321s or anything along those lines?
Steven Udvar-Hazy: Yeah, we have committed as a part of our some of our aircraft lease placements as we did in 2011, we have committed to purchase a few used aircrafts going forward. And I think that that's what this is referring to. The total amount of, I think, as you said some $80 million. The total amount there is not that significant for us. But again as we've done in the past as we did in 2011, if we find some opportunities, we're going to act upon them and those are primarily associated with placements of significant quantities of new aircrafts.
John Plueger : We also converted two of our A330 200 orders of A330 300s due to customer demand. So those have a slightly higher capital cost.
Operator: Your next question is coming from the line of Arren Cyganovich from Evercore. Please proceed.
Arren Cyganovich – Evercore: Thank you. This is not particularly an issue for you at the moment, but the ILFC write-downs that we saw last year and in their 10-K they talked about some stress test that could cause potential write-downs of their existing fleet. I'm just curious what your thoughts are on the residual value risk, particularly with I guess the A320s that would be last off the line, the CEOs and maybe the 737-800s?
Steven Udvar-Hazy: Yeah, I think as far as ILFC write-downs, you should refer to their own filings. My recollection is they made a publication that 28% of their fleet is more than 12 years old. And so we don't have aircraft that fall into that category.
Arren Cyganovich – Evercore: I guess I was more thinking about in terms of the risk that you would have for your orders that you have. I know you're 100% placed on the CEOs.
Steven Udvar-Hazy: Yeah, we have placed all of our A320s on long-term leases. Most of the recent leases we've done on A320s and A321s are all 12 years, non-cancellable. This also goes back to Gary's question about lease term. So, based on the current FASB methodology, we don't see any arena for write-downs on our new A320.
Gregory Willis: Yeah. Let me just also remind you as we've said on our IPO roadshows and in many public forums before, our whole business philosophy is to keep our fleet young. That's the best preservation that we have. We do that by doing two things. And that is buying only new aircrafts and yet seeking to sell aircraft when they are still young. We look to sell aircraft after about the first third of their useful life, generally 25 year aircraft. So when an aircraft get to be seven, eight years of age, we will look to – it's a candidate for sale and that's still a fairly young aircraft. An aircraft less than 10 years of age, seven, eight years of age, is still a fairly young aircraft. We believe, by doing that we keep our fleet young and we minimize any potential risk against obsolescence or any kind of impairment charges.
Arren Cyganovich – Evercore: Okay. Thank you.
Operator: Your next question is coming from the line of Jamie Baker from JPMorgan. Please proceed.
Jamie Baker – JPMorgan: Oh, thanks for letting me back in. Steve, when you look at the capital raising options menu for lack of a better term, what appeals to you the most at this point? Should we be thinking about private placements, unsecured public debt, unsecured bank debt, I mean, you know the entire list. What looks the best from where you are sitting right now?
Steven Udvar-Hazy: Well, I think we've made several comments about this in our 10-K basically that our strategy is to emphasize unsecured financing. And I think we're executing that strategy, and as you well know there's a whole range of products that are out there that we feel are suitable for us. Beyond that I can't really make any further comments at this point in time.
Jamie Baker – JPMorgan: Okay. As a follow-up, given the uptick as of late in lessor to lessor deals, having brought assets from ACG for example, can you give a bit more color to what you're saying before in terms of what sort of opportunity might you pick up specifically from other lessors?
Steven Udvar-Hazy: Well, initially when we started the Company in February of 2010, it was not possible for us to get instantaneous deliveries of new aircraft from Boeing and Airbus. The first delivery that we took of an aircraft that we ordered was about 11 months later in January of 2011. So during that period, from the startup phase until sometime into 2011, we did rely on acquiring either young used aircraft that already had leases attached from a number of lessors including ACG, and we also put together a number of transactions where we acquired either new positions from airlines or say leasebacks with some of our flagship customers. And this was the way of building up the initial portfolio to a sufficient level of scale until we began to receive new deliveries. Now, once the new deliveries began and now they're taking on larger amount of momentum, obviously our primary reliance on growing our fleet is the new aircraft deliveries that are outlined in our 10-K. So we shifted from buying young used aircraft and selected new aircraft in 2010 and 2011, although in 2011 we already had a strong stream of new deliveries. But in 2012 and beyond, the bulk of our acquisitions are brand new aircraft that we have procured through our long-term pipeline of orders from the four manufacturers.
Jamie Baker – JPMorgan: Got it. Thank you very much. Appreciate it. Take care.
Operator: At this time I'm showing no questions in queue. I'd like to turn the call back over to Mr. Ryan McKenna for any closing remarks.
Ryan McKenna: That concludes our call for today. Thank you for your participation.